Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the Kinross Gold Corporation Q4 and Full Year 2013 Financial Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) At this time, I’d like to turn the conference over to Mr. Tom Elliott, Vice President, Investor Relations. Please go ahead, Mr. Elliott.
Tom Elliott: Thank you, and good morning. Welcome to Kinross Gold Corporation’s conference call to discuss fourth quarter and full year 2013 results. With us today, we have Paul Rollinson, Chief Executive Officer; Brant Hinze, President and Chief Operating Officer; Tony Giardini, Chief Financial Officer; and Glen Masterman, Senior Vice President, Exploration. Before we begin, I’d like to bring to your attention the fact that we will be making forward-looking statements during this presentation. For a complete discussion of the risks, uncertainties and assumptions, which may lead to actual financial results and performance being different from estimates contained in our forward-looking information, please refer to page two of this presentation, our news release dated February 12, 2014, Management’s Discussion and Analysis for the full year ended December 31, 2013 and our most recently filed AIF, all of which are available on our website. I’ll now turn the call over to Paul.
Paul Rollinson: Thanks, Tom, and thank you all for joining us today. If there is one overarching message I want to leave you with as we close our 2013 it’s the following. Kinross had an excellent year operationally, with quarter-after-quarter of strong performance. There were many challenges and it was a difficult year for the gold industry as a whole given the volatility in the gold price, but despite those challenges, we have accomplished much of what we set out to do. When I took over as CEO in August 2012, we made a very conscious and deliberate decision to take the company in a new direction. Our new approach meant making some tough, difficult decisions, setting targets and doing the groundwork to meet those targets. More than that, it required a change in mindset from the mining pit to corporate headquarters. The mindset focused on four principles, operational excellence, quality over quantity, capital discipline and balance sheet strength. This kind of change does not happen overnight, but we are seeing the results of our efforts. Operational excellence is about meeting or exceeding our guidance. We beat our original guidance for 2013, producing a record 2.63 million ounces and we had some standout performers among our operations, including Fort Knox and Paracatu, which both had record production this year and Kupol, which continues to be an excellent asset. At the same time, we came in below guidance on our all in sustaining cost and at the low end of guidance on cost of sales. We also came in well below our forecast capital expenditures for the year. The principle of quality over quantity is about generating a meaningful return for shareholders by improving margins and generating free cash flow. To ensure we are focused on mining higher margin lower cost ounces, we launched a rigorous mine plant optimization program as part of the Kinross Way Forward, which applied a fully loaded costing methodology to all of our operating sites. This methodology builds upon regulatory guidelines for estimating economic mineral reserves resources to include costs such as sustaining capital and mine waste management costs among others. We didn’t have to do this, but we felt it was the right thing to do as part of the Kinross Way Forward, which is really and ensuring that every ounce we pull out of the ground adds to the bottom line. As a result, it contributed to a reduction in estimated prudent and probable mineral reserves, and an increase in the value of those reserves, which can be measured by higher estimated grades which are up an average of 14% across the company, less stripping, lower expected capital and greater net present value estimates. Specifically, we can see this increase value at Paracatu. The fully loaded methodology reduced the gold reserve estimate by 6.8 million ounces and the estimated life of mine was shortened, but Paracatu’s grade increased by 5% and its estimated net present value improved significantly. Our new mine plant at Paracatu encompasses the mutually supporting principles of operational excellence, quality over quantity and financial discipline. This is an example of what I mean when I talk about doing the work from the ground up. This approach has put Kinross on a stronger, more stable path and we are better prepared for the future. You can see that in our 2014 guidance. We are targeting another solid year of production both by the addition Dvoinoye, our new low cost high-grade mine and we have forecasted a decline in our all in sustaining cost which Brant will speak to you later on. As for capital expenditures, we continue to proactively look for ways to optimize investments while managing costs. That is how we are able to significantly reduce our capital spent in 2013 and we’re targeting a further reduction in 2014 to approximately $675 million. As I said in 2013 -- as I said 2013 was a great year operationally for Kinross and I’m very proud of our team. There were many challenges, but we have faced these challenges head on and we enter 2014 in a position of strength. We have a number of exciting exploration prospects, which Glen Masterman will go into in further detail and in April, we plan to release the results of the final feasibility study for Tasiast, a large well-defined mineral resource currently estimated at approximately 15 million ounces of gold. Last but not least, we have a strong balance sheet with robust liquidity, which affords us the financial flexibility to manage our business in the current gold price environment. All this being said, I want investors to know that I’m not happy with our current share price, I believe we are on the right t rack. We will continue to work hard to meet our commitments and to generate value for shareholders in 2014. Before I hand the call over to Tony, let me comment briefly on the announcement we made Monday concerning Brant’s retirement. Brant has been a truly outstanding leader for our operations team. Like all the best leaders, he has built a legacy that will continue to benefit us after he’s gone. He has put a first-class team in place at our regions and at our mine sites, and he has institutionalized systems and processes across the company that give us the confidence to know that when we make a commitment we can deliver on it. It’s too early to say goodbye to Brant. He’s with us until October and will be on these calls for the next couple of quarters. But, I want to take this opportunity to acknowledge and thank him for his truly significant contributions to Kinross. I’m also pleased to say he is being replaced by another consummate mining professional, Warwick Morley-Jepson. It’s a real advantage when you have the confidence and bench strength to replace the key role from within your own ranks and that is certainly the case with Warwick. As Head of our Russian region, Warwick has been responsible for consistently delivering some of the strongest operating results in the company. He is also responsible for delivering our Dvoinoye mine on time and on budget. In short, we know Warwick, we know what he can do and we know he will carry on the legacy that Brant has established. We look forward to introducing you to him later this year. I will now pass the floor to Tony, who will provide more detail on our financial performance for the quarter and the full year.
Tony Giardini: Thank you, Paul. Overall, 2013 was a year of strong operating results for Kinross as we achieved record production with cost of sales at the low end of our guidance range. Despite the strong performance, lower gold prices had a significant impact on our financial results, reducing cash flow and earnings. Average realized gold price for the fourth quarter was down from the same quarter last year, a decline of $439 per ounce or 26%. Fourth quarter adjusted net loss was $25 million or $0.02 per share. In addition to lower realized gold prices adjusted earnings were impacted by higher cost of sales and depreciation. We completed our annual impairment testing and we recorded an after-tax non-cash impairment charge of $545 million. This consisted of $376 million of property, plant and equipment at Maricunga, which was a result of changes to our life of mine plan and a corresponding reduction in reserves. There was also an impairment of $169 million related to goodwill at Quebrada Seca, a non-operating asset in Chile. This resulted in a reported net loss for the fourth quarter of $740 million or $0.65 per share. While we cannot control the gold price, we have maintained a keen focus on areas of the business that we can control. In light of lower gold prices, we accelerated our efforts in reducing spending across the company. As a result, we achieved significant reductions in capital spending. Full year capital expenditures for 2013 were $1.26 billion. This represents a $340 million reduction from our original 2013 guidance, a $140 million reduction from our revised guidance of $1.4 billion and a $600 million reduction from 2012. We expect this trend of capital discipline to continue with further reductions in capital spending planned for 2014, which I’ll speak to in a moment. Our all-in sustaining cost for the full year was $1,063 per ounce, which was below the low end of our guidance and lower than our all-in sustaining cost in 2012. In addition to capital, we also achieved year-over-year spending reductions in other areas. We reduced our total overhead cost by approximately $28 million, consisting of savings in G&A and business development. Exploration expense is also down $57 million. Lower gold prices and reduced cash flow have clearly increased the importance of balance sheet strength and liquidity. Our continued focus on capital discipline and cost reductions have underpinned the strength of our balance sheet and we ended the year in a solid financial position with total liquidity of $2.3 billion. We have a net debt position of $1.4 billion, having repaid $523 million of debt in 2013. This consisted of $460 million of senior convertible notes and $60 million for the Kupol term loan. After extending our term loan in 2013, we now have no material debt maturities prior to 2016. Looking forward, we expect 2014 production to be approximately 2.5 million to 2.7 million gold equivalent ounces at an expected cost of sales of $730 to $780 per ounce. The regional breakdown of our production and cost guidance is available on slide 13 and Brant will provide additional context when he discusses our operating results. Our focus on balance sheet strength has driven our budgeting process for 2014 and we are forecasting significant year-over-year cost reductions in many areas. Our 2014 forecast for capital expenditures is $675 million, including approximately $70 million for capitalized interest. This is a planned reduction of $585 million from 2013. Exploration and business development expenses are expected to be $125 million of which $40 million is forecast for business development. Including capitalized expiration of $5 million, total exploration expenditures are expected to be $90 million. Our 2014 general and administrative forecast is $165 million, a planned reduction of $12 million from 2013. Between planned reductions in G&A and business development, we expect our total overhead to be approximately $25 million less in the 2013 guidance. This is $5 million greater than the target we set in Q3. Our focus on disciplined capital management and the strength of our balance sheet will continue to be priorities for us as we head into 2014. I will now turn the call over to Brandt.
Brant Hinze: Thank you Tony. Let me begin by thanking Paul for his kind words earlier. Speaking personally, the last few years at Kinross have been a great way to end a long career in mining. It’s been especially gratifying to be part of the transformation that we have seen at Kinross. I would strongly echo Paul’s confidence in work, based on working with him very closely over the past few years. He has tremendous depth of experience and he knows what it takes to win in this business. He also has amazing perseverance, which he showed -- which showed in spades when his team built Dvoinoye ahead of schedule in some of the most extreme conditions anywhere on the globe. In short, I will be leaving our operations in very good hands when I retire in October. We had a solid quarter and excellent operational results and performance for the year. Our operating results reflect the strength and quality of our people and our ongoing commitment to managing costs in a difficult industry environment. We are looking to 2014 as another solid year with targeted production of 2.5 million to 2.7 million gold equivalent ounces at a cost of sales of $730 to close $780 per ounce. Our all-in sustaining cost is expected to be between $950 and $1050 per ounce. North America continue to produce strong results in the fourth quarter. The region had an excellent year, exceeding its regional production guidance, while cost came in below the guidance range. Fort Knox production in the fourth quarter was lower compared to quarter three due to the seasonal slowdown of heap leach. The mine has had an excellent year, achieving record annual production and strong cost performance. Production at Kettle River-Buckhorn decreased due to the lower mill throughput, and Round Mountain was in line with quarter three expectations. Full year regional production for South America was at the high end of guidance, while production cost of sales was within the guidance range. Quarter four production at Paracatu decreased compared with the third quarter as a result of slightly lower gradings and Plant 2 maintenance, which resulted in reduced throughput. Throughout the year, the team at Paracatu has steadily raised recovery and throughput and improved other key metrics. As a result, Paracatu achieved record annual production with over 500,000 ounces produced in 2013. Performance at Maricunga improved in the fourth quarter, with production increasing 20% and cost per ounce declining 11% compared with quarter three. As I mentioned last quarter, we have a new management team at that site, which includes a subset of the team that drove the operational improvements at Paracatu. The team has hit the ground running and has been focused on ramping up operational efficiencies. This has included a focus on improving throughput of the three stage crushing circuit, completing maintenance and repairs at the ADR plant, and self performing maintenance of mobile equipment which improved overall equipment availabilities. We are encouraged by the positive performance improvements we’ve seen at this site in December and into January, and will continue to focus on improving performance. As we announced in November, we have consolidated North and South America into one operating region, the Americas. As such, we have provided 2014 regional guidance for the new region. We expect the Americas to produce between 1.33 and 1.43 million gold equivalent ounces at a cost of sales of $780 to $840 per ounce. Production of the consolidated region is expected to be lower than North and South America’s 2013 results, largely as a result of the suspension of mining at La Coipa and an expected decline in grade and throughput at Fort Knox and Kettle River. This is expected to be partially offset by great improvements at Paracatu and Maricunga. West Africa production exceeded its 2013 guidance range and production cost of sales was at the low-end of the range. Production at Toronto increased due to higher grades and higher tons processed. Higher mill grades and higher throughput at the Tasiast increased production compared to the third quarter. Looking to next year, there are a number of opportunities for performance improvements at our West Africa operations. First, we had good success with the transition to self perform surface mining at Toronto and we are moving forward with implementing self-perform in the underground. We are also seeing very good returns from self-performing mobile equipment maintenance at Tasiast. Second, we expect to begin realizing the benefits of the site infrastructure projects we completed at Tasiast in 2013, including the new power plant, the new crusher for the existing process plant, and the new truck shop. Third, we are expecting higher grades in 2014 at both sites. As a result, we are targeting 2014 production to be approximately 480,000 to 540,000 gold equivalent ounces at a cost of sales of $810 to $880 per ounce. Russia exceeded its full-year production guidance and cost of sales was lower than the guidance range. This outperformance was largely a result of faster than expected ramp-up of the Kupol mill. The team in Russia has done an excellent job of ramping up the mill which is now processing 4,500 tons per day. Production in the fourth quarter was in-line with the previous quarter with slightly lower grades and recoveries offset by higher throughput. Approximately 24,000 gold equivalent ounces were produced from process in Dvoinoye ore in the quarter as the mine ramped up to full production levels faster than planned. We will begin to see the full benefit of Dvoinoye coming on-stream in 2014 as we expect our Russian region to produce approximately 690,000 to 730,000 gold equivalent ounces at an expected cost of sales of approximately $560 to $590 per ounce. I’d now like to turn to our year-end mineral reserve and resource statement. As Paul mentioned earlier, we applied a fully loaded costing methodology to our year-end reserve estimates, in line with our focus on quality over quantity. At year end, proven and probable gold reserve estimates were approximately 39.6 million ounces. Year-over-year, there was a reduction to estimated gold reserves of 19.9 million ounces; primarily, a result of a 3.4-million-ounce reduction due to production depletion; a 6.7-million-ounce reduction due to the removal of Fruta del Norte from our mineral reserve statement, following our decision to exit Ecuador; and a 6.3-million-ounce reduction due to mine plan optimization program, which also resulted in a reclassification of an additional 3.7 million ounces to mineral resource. It is important to note that we have not sterilized any of the current estimated mineral resource or potential ounces of our operations. These estimated resources and potential ounces are still available at lower costs and/or higher gold prices. I’d like to draw your attention to Slide 24 of the webcast, which highlights the increase in estimated gold reserve grade at our operating mines when compared to last year. Our overall estimated gold reserve grade net of FDN has increased approximately 14%. To wrap up on operations, I want to extend my gratitude to all our employees for their hard work and dedication to delivering results, while maintaining one of the best safety records in the industry. I will now turn the call over to Glen for some highlights of our 2013 exploration program. 
Glen Masterman: Thanks, Brant. 2013 was a strong year for exploration as we focused on priority targets near our operations. Our accomplishments include identifying a new zone of mineralization at Piment Central at Tasiast, identifying a new zone of oxide mineralization adjacent to La Coipa by seven, concerning the continuity of high grades and resource potential at the Moroshka target near the Kupol mine and identifying high-grade mineralization at a target nearby Dvoinoye. We included complete drill results and other highlights for certain targets from our 2013 program with our news release yesterday, which is available on our website. I will walk you through some of the highlights. Starting with Tasiast, drilling activities throughout the year focused on the mine corridor, with Tasiast Sud area south of west branch and the Aouèouat area north of the mine. At Piment Central, we have identified a new zone of mineralization 20 to 30 meters below the west sidewall of the pit. 13 coal holes were drilled in 2013 and intersected good grades over 1 kilometer of strike and always at the same geologic content identified below the pit wall. The discovery is important because it occurs within the existing footprint of the mine. Furthermore, this zone is a new style of mineralization that we have learned about and that we will explore along the mine corridor and throughout the district. We are planning further drilling in 2014 to extend the non-strike length and further define continuity with infill holes. Drilling continued on the Tasiast Sud licenses following our targets identified along the Tasiast Shear Zone, 10 to 15 kilometers south of West Branch. And in the Aouèouat area, a number of new targets were identified based on the results of the 2012 drilling program. Results continue to expand the non-mineralization and provide information on geologic controls, geometry and continuity. Overall, results from Tasiast continue to support our belief in the long-term potential of the district. At La Coipa, we continue drilling on a number of targets stepping out from non-mineralization and historic occurrences in 10 areas. Early results from the Catalina target, 1 kilometer southeast of Phase 7, are encouraging, and drilling continues to outline the geometry of mineralization which remains open to the northwest some 600 meters towards Phase 7 over untested ground. We are currently drilling to better define the controls on mineralization and to delimit the extent of potential gold resource. Moving on to Russia, drilling at the Moroshka target, located 4 kilometers east of the Kupol mine confirmed continuity of high grades along a 400 strike meter vein structure and over 130-meter vertical interval. In Russia’s preliminary estimate, the mineral resource potential is that Moroshka contains a minimum of approximately 0.4 million to 0.6 million tons grading in the range of 11.9 to 19.7 grams per ton gold equivalent. The company is developing a mineral resource block model incorporating new information from last year’s infill drilling and is undertaking geometallurgical testing of the mineralized zone. Step-out drilling has indicated potential for further high-grade mineralization directly on strike to the north of the main deposit and to the west where narrow high-grade range were encountered at depth. The team has outlined six strike kilometers in total of exploration potential along the Moroshka trend. At the September Northeast target, which is located 15 kilometers northeast of Dvoinoye, we have encountered high-grade mineralization near surface. Follow-up drilling and trenching has identified a complex sign of mineralization at the south end of the target. It remains open at depth and we will be following up on the potential for new zones along strike. And finally, at Chirano, our drilling program this year was designed to assess the underground potential of mineralization beneath the Akoti, Tano and Suraw open pits. Results from the program confirmed that mineralization extends between 100 and 400 meters below the bottom of the pits. Mineralization coincides with the elevation range of underground development in the Paboase mine, which could potentially be used to access further potential mineral resources below these pits. The mineralization remains open at depth at all three deposits. Overall, it was a good year, which produced a number of encouraging results that we will be following up throughout 2014. I will now turn the call back over to Paul.
Paul Rollinson: Thank you, Glen. Operator, I think we’re fine to open up the lines for questions. Thank you.
Operator: (Operator Instructions) First question is from Stephen Walker of RBC Capital Markets. Please go ahead.
Stephen Walker - RBC Capital Markets: Thank you very much Operator and good morning. I just wanted to ask Brant about Tasiast, first of all. We had a sharp increase in grades, 0.2 grams and the costs were sharply higher, I guess, than I would have expected given the higher grades. Can you -- some of it looks like it might be expensing some of the stripping. But, can you give us a sense of why the costs were higher, is it stripping only? And given the higher grades, why we didn’t see lower cost at Tasiast? And I guess, if it is an expense, stripping expense can we expect that to continue into 2014? 
Brant Hinze: Yeah. So as far as the grade and the increase in reserve grade at Tasiast, one of the key contributing factors there was that we reclassified 1 million ounces from reserve to resource. So, that took a lot of the lower grade, more marginal grades out of the reserve picture. In addition to that, we had some low grade stockpiles that were originally leach grade and we weren’t putting on the leach pad because they were, like I indicated, pretty low grade and we didn’t want to take up leach pad space and we favored higher-grade leach material for the pads. And we put those on stockpile and we took some of those out as well too. So, that contributed to the overall higher grades. On the costs for Tasiast, and we said on many occasions here that Tasiast is all about the greenschist. And that our objective here is to get to the greenschist. That being said, if we look at 2014 guidance for West Africa relative to 2013 guidance for West Africa, we will see that our costs are down significantly. And there is a number of reasons for that which I can focus on. From a standpoint of Chirano, we have -- as we’ve indicated in some of our opening comments here, we spent an awful lot of effort on self-perform and we have completed the self-perform on open pit mining at Chirano and that has contributed significantly to reduce costs. And we are in the middle of a process right now of going self-perform underground. And then, at Tasiast, some of the opportunities that we see now to reduce cost at Tasiast are the completion of the Phase 1 deep power, which will contribute significantly to overall reducing energy costs. We have installed or we are in the process of installing a new crusher for the current process facility. And we want to self-perform maintenance and have moved into the new truck shop, which all of these things are going to contribute to lower costs at Tasiast. So, we are seeing, I would say, significantly lower cost and expect lower cost at Tasiast versus 2013.
Operator: The next question is from Andrew Quail of Goldman Sachs. Please go ahead.
Andrew Quail - Goldman Sachs: Good morning, guys. Thanks very much for taking my question, and congratulations on a strong operational 2013. My question is about CapEx and moving forward on sustaining CapEx. Look you guys have obviously split the 605 into 400 and 205. One, is that 400 something we can use sort of from 2015 onwards? Or -- and sort of, two, given the flat production or the sort of forecasted almost flat production in 2014, is that 205 sort of more sustaining CapEx and we can add back to the all-in sustaining cash cost per ounce?
Paul Rollinson: Sure. I’ll maybe have Tony answer this one. But I would say Andrew that we just -- we only forecast our capital spend on a year by year basis, but Tony, maybe just to give a little bit of color on the breakdown.
Tony Giardini: Sure. I can do that. Thanks very much for your question, Andrew. I would point out to begin with that, our guidance in 2013 was 2.4 to 2.6 million ounces and we’ve increased our guidance for 2014 to 2.5 to 2.7. So we’re actually not forecasting flat production but increase production in the current year. I would also point out that our expected cash cost forecast to be lower in 2014 versus 2013. And finally, when you look at all-in sustaining costs we came in at the low end of the range and we’re forecasting lower cost of all-in sustaining cost for 2014. Getting back to your question, at the end of the day classification is really -- I would say a bit more art than science. And what we are looking at with respect to non-sustaining capital, particularly with respect to some of the expenditures we have at Tasiast is that we’re going to be actually accessing the greenschist high grade giving us the opportunity to have higher production at hopefully lower cost. And as a result, we’ve classified it at sustaining cost. At the end of the day, it is going to be a dollar that’ going to be spent. And if you feel it’s more appropriate to classify that sustaining costs in your models, then I would suggest to do that. We’re classifying it as non-sustaining cost because we believe that ultimately it’s going to allow us to grow our production profile regardless of the decision we make on expansion down the road. And with regards to the modeling question, as Paul pointed out, we provide guidance on a one-year basis and this is the guidance that we provided. You can use that as a base looking forward, but it will be really a function of the asset mix on a go-forward basis. So, hopefully that helps. But I think Tom can definitely give you some additional insight into how we are looking at capital on a longer-term basis.
Andrew Quail - Goldman Sachs: Okay, thanks. I mean, I am just looking at 400 to the midpoint of sort of the $153 an ounce and more sort of look at that sort of I suppose from 2015 going forward then.
Tony Giardini: Yes, I mean, we can’t tell you how to build your model.
Andrew Quail - Goldman Sachs: Okay, thank you.
Operator: The next question is from Anita Soni of Credit Suisse. Please go ahead.
Anita Soni - Credit Suisse: Good morning, guys, and congratulation on the solid results and for using the fully loaded costs on your reserves. My question is with regards to the stripping ratio at Tasiast, now. Now that you’ve lost some of the -- or basically reclassified some of the lower grade material, but is that due to the overall strip ratio life of mine?
Brant Hinze: Well, what I will say is that, we are in the process of completing the feasibility study and we will have the results of all of that when that feasibility study is complete. And as well, too, I think, in March we will see a technical report, a technical study come out on Tasiast as well. And all of that information is there, but I wouldn’t have a solid number on that at this point right now until we finish and complete that feasibility study.
Anita Soni - Credit Suisse: Great. Just one quick follow-up, on the dump leach, I think you did mention that you lost some of that or that you preferred the higher grade material there. Is it fair to say that going forward the dump leach will have less tons being placed on it than prior years?
Brant Hinze: Well, that was certainly our strategy in 2013. We are actually encountering a lot more low grade material and we preference the higher grade material to go on the leach pad and we would expect to continue doing. But, the thing is that I think is important to recognize is, we are stockpiling that stuff separately. And if we look at an example of where that has really paid off, we can just look at Fort Knox today. The material that we are leaching there was that 1 point sub-grade material. We’ve now got, I would say, a very successful leach operation there.
Anita Soni - Credit Suisse: All right. Thank you.
Operator: (Operator Instructions) The next question is from David Haughton of BMO Capital Markets. Please go ahead.
David Haughton - BMO Capital Markets: Good morning, Paul, Brant, Tony and Glen. Thank you for the update. Interested to hear about the new reserve model that you’ve got and the potential at Paracatu to lift the grade, looking at the current reserve grade, it’s about 10% above where you finished 2013. Can you just give us some idea when you think you’d be approaching that 0.42 gram and a bit of an outlook as to the profile here?
Paul Rollinson: Well, I guess, we haven’t really broken that out. We can maybe chat with you offline with Tom, David, but we’ve given you the global average. And those grades are going to vary depending upon where we are in the pit through the sequence of the mine over the next several years, and they’re going to fluctuate from quarter to quarter. So I don’t know that we have that specific number.
David Haughton - BMO Capital Markets: Well, perhaps, more generally, it’s a big shift to turnaround obviously. You’re moving -- approaching 60 million tons per annum. And just what your philosophy here is on how you’re going to be chasing that better grading in comparison to what we’ve seen in the recent past?
Brant Hinze: Yeah. I can respond to that as well too. As we indicated in the Americas, we do -- and I did indicate earlier that we’re seeing increased production performance both at Paracatu and at Maricunga, and part of the reason that we are seeing increased production performance in 2014 over 2013 at Paracatu will be certainly in part grade.
David Haughton - BMO Capital Markets: Okay. Because I also understand that you’ve got the blend of the B1 and the B2 or and different process is going through. So, having been there a number of times, it’s just sort of mind-boggling how this could play out given the scale?
Brant Hinze: Yes. And quite frankly, what the process has done and fully loading process, it has pretty much addressed issues, I would say, on fringes that are -- that require large -- larger strippings in the future, investments into buffer zones and moving highways and buying land and various things like that that have fallen out beyond 2030.
David Haughton - BMO Capital Markets: I think -- sorry, Paul? 
Paul Rollinson: I was going to say a significant component of the increased MPV is we are spending much less capital. We’ve shown the mine life, but over the life of the mine, not discounted, I think we will save a couple billion of capital spend as well.
David Haughton - BMO Capital Markets: Is that mainly on fleet replacement or is it just on the handling or where would we see most of those?
Brant Hinze: Yeah, it’s across the board everything. You know the types of things that we are talking about, whether it’d be land purchases or moving highways or stripping, tailings facilities across the board.
David Haughton - BMO Capital Markets: Okay. Thank you for the insights.
Paul Rollinson: Thank you, David.
Operator: Your next question is from Tanya Jakusconek of Scotia Capital. Please go ahead.
Tanya Jakusconek - Scotia Capital: Yes, good morning. Dave asked part of my question, but maybe coming back to Paracatu, appreciate the clarity on buying the land and so forth and the couple billion dollars of CapEx savings. But maybe -- and I know that there is going to be a technical report filed on this mine. But, can we just have an idea of what you kind of see this operation doing? Is it fair to assume that it’s something in the half million ounce range per annum with cost in the $800 per ounce range with $80 million to $100 million of sustaining capital? Would that be fair?
Paul Rollinson: Yes. I mean, would that be fair? Yeah, I think that would be fair. I mean, that’s a reasonable way to sort of put a box around it. We obviously are going to keep pushing for improvements where we can. That’s a continuous process. As you know, we’ve made some pretty good headway this year. And this is a continuous effort for us to improve from where we are at the margin and the cash flow.
Brant Hinze: Yes. And that being said I think from some of the things you can draw your own conclusions on it. But some of the things that we have talked about here, from the standpoint of -- with the fully loaded model, we’ve improved the grade. As Paul said, we’ve significantly reduced life of mine capital. And I did indicate earlier as well too, that we do expect Paracatu’s production and performance to be better than 2013 and we produced over 500,000 ounces in 2013. So with all of that information, you can draw your own conclusion there.
Tanya Jakusconek - Scotia Capital: Yeah. It’s just the cash cost in Q4 was quite high at Paracatu. So, I was just trying to get a more decent number because the cash costs have varied anywhere between $700 million and over $800 million as you know.
Brant Hinze: Yeah.
Paul Rollinson: Yes.
Tanya Jakusconek - Scotia Capital: Okay. Okay. Thank you.
Operator: We have a follow-up question from Stephen Walker of RBC Capital Markets. Please go ahead, sir
Stephen Walker - RBC Capital Markets: Great. Thank you, Operator. A follow-up question on Tasiast was the -- when are you going to be into the higher grade Greenschist Zone and where do you anticipate the grades are going to be when you are in that in 2014?
Paul Rollinson: Towards the backend of this year, we’ll start to get into it. Brant?
Brant Hinze: Yeah. We’ll actually begin to hit the very top of the Greenschist this year. Obviously, we’ll open more of it up in 2015 and then we will see, I would say, a reasonable contribution to production then in 2016. The grades -- again, we don’t give that kind of detail and that kind of guidance on a mine site by mine site basis. But the Greenschist is the sweet spot and we’re heading for it. Grades will go up.
Paul Rollinson: I will just say, give us a couple of weeks we’ll get that technical report out. And we’re going to finalize the feas and you’ll have full transparency on all of those, Stephen.
Stephen Walker - RBC Capital Markets: Thank you. Just if I may as well, Dvoinoye is going to be batched through the Kupol plant. And then it’s going to be very lumpy with respect to the grades in the quarter. Is it safe to assume one quarter or one month a quarter, or will there be some months where it’s two months, is it safe to assume six weeks? And what is that broad guidelines on what we can expect for batching the higher grade to Dvoinoye of that plant? 
Paul Rollinson: Well, batching Dvoinoye, and if you look at the fact that it’s a 4,500-ton a day mill and 1,000 on average, a 1,000 tons a day will be Dvoinoye. So, you’re going to -- and it’s all going to be a balance. I mean, there’s a number of factors that go in it. From a standpoint of the mining rate at Kupol, you can’t sustain a 4500-ton a day mining rate. So you have to move back and forth from Kupol to Dvoinoye. That being said, as well, too, we don’t like to do a batch run on something like a Dvoinoye or with less than a minimum amount and a minimum number of days. Because the switchover from Kupol to Dvoinoye and Dvoinoye back to Kupol is obviously not the most efficient time through the mill circuit, so it’s a balance. And I can’t say that you’re going to have X batches of Dvoinoye each quarter because it will vary. 
Stephen Walker - RBC Capital Markets: Great. Thanks for taking the follow-up.
Operator: Your next question is from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes - TD Securities: Yes. Thank you. Paul, I guess a bigger picture question, you’ve done a good job stabilizing Kinross now and obviously optimizing mine plans and a lot of that work is done now. When you look forward, where do you see Kinross going? If you do have X Crixas expansion, slowly declining production profile and I guess there’s some opportunities out there right now where you could add to that. Where is your head out on this?
Paul Rollinson: Well, thanks, Greg. I mean, again, what we are trying to do here we’ve got a tight ship. We are running a tight ship. We have got six quarters in a row operationally. We’ve kept an eye on the balance sheet. We’ve got a very strong balance sheet. We are watching our spend very carefully. You’ve seen what we’ve done with capital. You’ve seen what we’ve done with other costs that we can control. We just put a mine into production. So there’s a lot of good things going on. We will be publishing the results of the final feas in April. And we’ve got some pretty exciting exploration results. It’s been a bit of an uncertain world out there with the gold price. And our strategy is to try to play from a position of strength with our balance sheet, with our operations, expertise. We will be in a position to look at opportunities and hopefully take advantage of them. So, for me, it’s making sure we have a very sound, well-run, physically prudent company that’s positioned to take advantage of opportunities. Glen touched on the exploration. I think we’ve got some very, very interesting things going on there and stay tuned on that front as well.
Greg Barnes - TD Securities: Are you prepared to go hostile on acquisitions if they be?
Paul Rollinson: Greg, we don’t speculate on M&A in any regard. I appreciate you are trying to draw me out on that, but that’s not a place I’d like to go.
Greg Barnes - TD Securities: Okay. Fair enough. Thanks, Paul.
Operator: Your next question is from Steve Parsons of National Bank Financial. Please go ahead.
Steve Parsons - National Bank Financial: Yeah. Good morning. Thanks. I just want to follow-up a bit on some of the currency discussions. So, Kinross is exposed to certainly some of the jurisdictions that are seeing a substantial currency depreciation in Brazil and alike. To what extent, are you seeing this and the benefits on the operating -- in-country operating cost side starting to outpace inflation? And to what extent, have those numbers been baked into your 2014 guidance?
Tony Giardini: Sure. Steve, this is Tony Giardini. I’ll take a cut at it. You’re absolutely right. We operate in a number of jurisdictions where we have seen some currency volatility. Maybe, we’ll talk about Brazil as a starting point. So we have some of our exposure in Brazil hedged, about 70% for 2014. And right now, I think we’re looking at about a negative $29 million mark-to-market cumulatively on that heading out into 2014 with a nominal amount of 20% hedged. So we’ll get some of the benefit through operating cost, obviously. But some of it will also be sort of pulled back, as we incur opportunity costs associated with the hedges in Brazil. As far as Russia goes, basically, we’re flat in terms of any of the hedges that we have in place. So we should fully benefit from the operating cost reductions as a result of weaker currency. And then, in Tasiast, obviously, it’s more of a U.S. dollar-based environment and not really a function of currency depreciation. Similarly, same case in Ghana more or less. So where we have the opportunity to benefit is largely going to be in Brazil on a go-forward basis, as we see a bit more volatility there and likely in Russia. And we provided as part of our outlook, the assumptions that we are using for currencies. And you can refer to that in terms of modeling and looking what those benefits are. And we would certainly be happy to sit down with you in more detail and walk through what the hedge positions and what the hedge strategy is. I would point out that we have actually pulled back on our hedging of exposures over the past year. Previously, we were running about a 36-month horizon in terms of hedging. We pull that back to about 18 months midway through last year when we started to see pressure on the gold price, just given the correlation. So those hedges are slowly running off and we probably will keep that hedge book at a much shorter duration just given the correlation between movements in the gold processing currencies.
Steve Parsons - National Bank Financial: Okay. That’s very good. Thank you.
Tony Giardini: Thank you.
Operator: The next question is from John Bridges of J.P. Morgan. Please go ahead.
John Bridges - J.P. Morgan: Hi. Good morning everybody. I was just wondering, you mentioned the exploration having some interesting hits in Russia and in Tasiast. Historically, in difficult times, accessing a bit of higher grade has been very, very helpful. I’m sure that’s what you’re trying to figure out. But I was just wondering in today’s world, how long would you be looking at getting permits and that sort of thing in order to access anything really good that you found in those regions? 
Paul Rollinson: Sure. I mean, Russia is a great example of what we can do with permitting, John. You recall, Dvoinoye was actually an M&A trade. That asset was bought in 2010. And since 2010, we’ve fully drilled it, fully permitted it and putting it into production on time and on budget. It does vary by region. But certainly -- and Glen, I don’t know if you want to add. I expect he will be pretty straightforward if we continue to grow resources adjacent to the Kupol mine.
Glen Masterman: Yeah. Absolutely, Paul. And one of the advantages in these higher grade types of deposits, John, is that they are typically small footprint and so therefore, less headaches from a permitting point of view. We step back a number of years ago and we geared our strategy to not only continue to invest and emphasize exploration around our mine sites, but also focusing on higher grade targets within close proximity to our plants. So we are in a position to take advantage of those. And particularly in the current gold price environment, these types of targets will give us a little bit more operational flexibility. So we’re continuing to invest very heavily in high-grade narrow mines.
John Bridges - J.P. Morgan: So, the Russian example is on your property. Would you have to get specific permits to go after it, or can you just move the equipment over there and start digging?
Paul Rollinson: I’m assuming the latter. But we may have to check on that. It is 4 kilometers away, underground. At a high level, I am assuming it will be very straightforward. 
John Bridges - J.P. Morgan: And Tasiast?
Paul Rollinson: Tasiast, as well, we’ve had an extremely supportive regime when it comes to anything related to permitting. We have all of our permits in place. We’ve managed to get our permits that we require on a timely basis and we found it to be extremely straightforward.
Glen Masterman: And, John, I’ll draw your attention to the discovery we announced last night at Piment Central, which is a higher grade style of vein mineralization, 20 to 30 meters below the sidewall of the pit. And the important thing about that discovery is that it occurs within the footprint of the existing mine. So we don’t anticipate permitting issues in connection with that.
John Bridges - J.P. Morgan: Okay. So that’s a real good one. I was just actually asking earlier on that one. And would you simply extend the pit to go after that or would you punch into the sidewall to go after it at a higher grade?
Glen Masterman: I think, John, I might just answer that, first. And that is, we’ve got 13 holes into this vein structure at the moment, a kilometer of strike lengths delineated, but we have a lot more work to do. So there is a fair bit of infill drilling that we need to complete first to confirm continuity. And also, we are looking to step out and hopefully extend it down deep and along strike. And until we have that information, it’s difficult to say how we would approach it from a mine point of view.
John Bridges - J.P. Morgan: Yeah. Okay. Cool. Best of luck, guys.
Paul Rollinson: Thank you.
Brant Hinze: Thank you.
Operator: There are no more questions at this time. This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.
Paul Rollinson: Thank you, everyone.